Operator: Good morning, ladies and gentlemen, and welcome to the Dynatronics Fourth Quarter Fiscal Year 2022 Earnings Call. It is now my pleasure to turn the floor over to your host, John Krier, the company's President, Chief Executive Officer and Chief Financial Officer. John, the floor is yours.
John Krier: Thank you, operator. Good morning, everyone, and thanks for joining Dynatronics call today. Before we begin, I will call your attention to our Safe Harbor statement. Please note that during this call, we will make forward-looking statements regarding our current expectations, plans, projections and financial performance relating to our business. These forward-looking statements reflect our view as of today only, and they involve risks and uncertainties that could cause actual results to differ materially from those discussed today. Important factors that could cause actual results to differ materially from those projected or implied by our forward-looking statements are included in our most recent 10-K and other reports filed with the SEC and include uncertainties and risks related to the broader economic environment and the impact of the COVID-19 global pandemic on our business results.  We caution you not to place undue reliance on forward-looking statements we may make this morning. We undertake no obligation to update or revise forward-looking statements. During our prepared remarks, we will be referring to slides that are available for viewing in the webcast and posted on our Investor center page at diamatronics.com. On today's call, we will cover the highlights and achievements of the fourth quarter and full year fiscal 2022 as well as provide commentary on the financials, and then we will have the operator open the phone lines for questions.  Slide 3 highlights just a few of our more recent accomplishments, all of which enabled the company to exceed the market growth rates for the fifth consecutive quarter and demonstrate progress toward our strategic goals. For starters, let me begin with 3 headline points. First, we have a clear line of sight to profitable growth and a well-defined strategy. Each step we take is designed to be incrementally accretive to reaching our long-term goals of organic revenue growth and consistent profitability. Second, our fourth quarter net sales represents the fifth consecutive quarter of exceeding the market and our baseline sales expectations. And third, we are choosing a strictly managed growth strategy that utilizes a clean balance sheet with no debt as the primary mechanism to manage the increased demand for our products and the inventory levels required due to the current supply chain environment.  Please turn to Slide 4, which contains our quarterly financial and business highlights. As a reminder, the full income statement and management discussion and analysis can be found in the 10-K. I will summarize some of the key financials here. Net sales were $44.3 million for the fiscal year '22. That compares to net sales of $47.8 million in fiscal year '21. The year-over-year decrease is primarily due to a reduction in sales of third-party distributed products, which have been discontinued. This was partially offset by revenue from new products and an increase in customer demand compared to the prior year period in which we experienced the impact of COVID-19 precautions and associated deferral on electric procedures, which reduced demand for our products. Our net sales across the quarters of fiscal year '22 aligned with historical trends, lower in the second and third quarters and higher in the first and fourth quarters. Gross profit for fiscal year 2022 was $10.7 million or 24.1% of net sales compared to $12.9 million or 27% of net sales in the prior year. We experienced COVID-19 and supply chain challenges, including extraordinarily high freight, raw materials and labor costs throughout the fiscal year. While we have seen a slower of inflationary costs over the last quarter in both freight and raw materials, we expect cost pressures to continue for the remainder of calendar year 2022 and to be more pronounced in the first half of fiscal year '23.  Selling, general and administrative expenses decreased by 7.2% to $15.4 million in fiscal year '22 compared to $16.6 million in the prior fiscal year. We delivered year-over-year SG&A cost savings as intended with the discontinuation of distributed products, and we continue to improve operational performance and leverage our resources on a company-wide basis. The decrease is primarily in general business fees and administrative personnel costs. Net loss for fiscal year '22 was $4 million. That compares to a net income of $2 million in fiscal year '21. The change was primarily attributable to a decrease of $2.2 million in gross profit and a decrease of $5.0 million in net other income, partially offset by a decrease of $1.2 million in SG&A. The decrease in net other income is primarily due to one, a $717,000 gain on the sale of property and equipment, principally our Tennessee property in the prior year period.  Two, a $783,000 decrease in employee retention credit for funds received or receivable from the U.S. federal government under the Cares Act; and three, a $3.5 million gain on extinguishment of debt as a result of the forgiveness of our Paycheck Protection Program loan. Outstanding shares will increase approximately $300,000 per quarter, depending on our share price. As of June 30, 2022, the number of common shares outstanding was approximately $18.2 million. The net cash balance was $0.7 million on June 30, '22. We invested in inventory due to the double-digit higher sales in each quarter of fiscal year '22. Supply chain volatility continues to cause longer lead times. And as a result, the organization made a strategic decision to place additional orders on key raw materials and other supplies. Cash used in operating activities was $4.9 million for the fiscal year due to the company's working capital investment on the expected double-digit growth, specifically $5.6 million or 85% increase build in inventory to serve customer demand, add additional safety stock to offset continued expected supply chain disruption and new product introduction. This concludes our summary of the financial and operating results.  Turning to Slide 5. We will continue to provide guidance on metrics that we are confident with. While managing the choppy nature of this business transformation and the broader economic environment, including the impact of COVID-19. We expect net sales in fiscal year '23 to be in the range of $45 million to $48 million. The midpoint of this sales guidance represents a 5% organic growth rate relative to the $44.3 million annual net sales in fiscal year '22. Dynatronics transformation strategy continues to be well received by our customers, demonstrating our new business model strength and providing this momentum into fiscal year '23. The company expects the distribution of net sales in fiscal year '23 across the quarters to align with historical trends, highest in the first quarter, lower in the second and third quarters with a bounce back in the fourth quarter. This pattern matches our results in fiscal year '22. Over the past 2 years, we have assumed that if we only maintain market share, we should deliver annual net sales growth of 5% to 6%. A recent market research and competitive publicly released materials are acknowledging a market growth rate of approximately 3% to 4% in the product categories we compete in. We have updated our market growth rate target and target higher annual net sales growth by continuing to take market share and releasing new products.  Strategic inventory investments in the products we manufacture allowed Dynatronics to meet our customers' expectations and the double-digit higher sales growth delivered in fiscal year '22. Specifically, our inventory was elevated to meet customer demand and the current market and supply chain conditions. The sequential improvement in gross margin in Q4 was achieved despite the persistent headwinds to margin expansion, including higher material and freight costs, supply chain disruptions and longer handling time. Inventory levels are a regular topic of discussion among our customers and leadership team in today's supply chain environment. To provide more context, our target is the proper utilization of appropriate inventory levels that have been strategically built over the past few quarters.  On the higher sales I discussed, inventory as of the end of fiscal year '22 was $12.1 million compared to $11.6 million at the end of Q3 fiscal year '22. These investments were designed specifically to serve customer demand, maintain additional safety stock to help offset continued supply chain disruptions and to drive new product introductions. Importantly, we are getting our products to our customers expeditiously, which is a strategic competitive advantage in the supply chain challenge environment and our customers continue to recognize and reward us for delivery. The cash used in operating activities of $4.9 million for fiscal year '22 was primarily due to the company's working capital investment in inventory of $5.5 million.  The headwinds we have faced over the last 3 quarters have caused the organization to incur additional costs, impacting the pace of our gross margin expansion. However, we expect to see improved throughput with the inventory levels in place. Inventory levels will remain elevated until issues across the global supply chain subside.  Moving to Slide 6. Gross margin expansion remains our focus. Gross margin improved to 23.4% in Q4, a 1% sequential increase from the Q3 gross margin of 22.4% and a 3.6% improvement from the Q2 gross margin of 19.8%. This improvement came primarily from the adoption of price increases that we implemented and the new products launched. We expect our gross margin in Q1 of fiscal year '23 to show continued expansion as we benefit from price increases for our products. Cash flow from operations in fiscal year '23 should begin to benefit from the sell-down of inventory strategically built over the past year. As a company, we focus on higher-margin differentiated products that we manufacture. Our target is to achieve 40% gross margins over the longer term, which is comparable to what we believe our peers achieved. Gross margin in each quarter of fiscal year '22 was impacted by the effects of COVID-19 and supply chain challenges, including extraordinarily high freight, raw materials and labor costs. Without the addition of freight, raw materials and labor costs we experienced in Q4 of fiscal year '22 of approximately $0.45 million as a result of COVID-19 and inflationary pressures, our gross margin would have been 27.4%. Excluding these additional costs, our gross margin was higher in each quarter of fiscal year '22 relative to the prior year.  We have taken and will continue to take multiple actions to offset these costs, including selective price increases, exploring alternate sourcing relationships and improving factory yields. We are fortunate that Dynatronics does not rely as heavily on long-term agreements as many other companies in our markets. We have been successful with our dealers and customers by providing them an option to accept our standard price increases or to buy more products from all of our brands and be rewarded with lower price increases. We anticipate that price increases will offset some of our inflationary cost pressures over time.  Slide 7 provides fiscal year '23 guidance detail. As we have recently discussed, we intend to provide guidance on metrics that we are confident with. Net sales are expected to be in the range of $45 million to $48 million. The midpoint of this range, $46.5 million represents 5% organic revenue growth, which would exceed the market expectations for the full year. We continue to be reluctant to provide gross margin guidance given the persistent inflationary pressure, ongoing impact of COVID-19 and supply chain challenges. That said, we do expect Q1 of fiscal year '23 to continue the sequential expansion towards our longer-term target of 40%.  We anticipate selling, general and administrative expenses of 30% to 35% of net sales in fiscal year '23. As we do on revenue scale, we expect to continually leverage and improve our scale on this SG&A cost base. We're going to do what it takes to keep serving demand from our customers. We have a solid understanding of what it takes to build a scalable platform, to grow our customer and sales base to be a much larger company in our markets, drive margin expansion and consistently deliver strong cash flow from operations to create value for shareholders. There continues to be opportunity to improve all of our financial metrics. This guidance is based on our current operations and is subject to the risk factors and other forward-looking statements and uncertainties contained in this presentation and in our filings with the SEC.  Turning to Slide 8. The Dynatronics growth platform targets initiatives in each of these strategic priorities. I am continually impressed by the great work of our team and the accelerating pace of our improvement. Each quarter, I will also provide context to the strategy driving the momentum we generate. Fiscal year '22 was a challenging year to recover from the significant cost pressures impacting our gross margin. The team has made solid strides with our second and seem to be third consecutive quarter of sequential gross margin expansion. Our short-term focus will be a continuous trend with a view to achieving 40% gross margins over the longer term. Operating discipline continues to improve throughout our organization.  Over the past 2 years, we have demonstrated the ability to grow sales and appropriately manage our selling, general and administrative cost base, but we have only recently demonstrated we can expand gross margin. We expect that the changes we have made to deliver higher annual net sales, we will begin to deliver higher annual gross margin, operating income and cash flow from operations as we move through fiscal year '23.  Let's move to Slide 9. We have delivered sales growth for 5 consecutive quarters, well above market growth and above our $9.25 million continued net product sales baseline set in April 2021. Dynatronics has multiple levers to drive sales growth at a macro level, capture market share, developing product innovations and through acquisitions. The markets we serve has driven attractive growth profile, approximately 3% to 4%. In addition to this market growth, we currently continue to take market share from our competitors and introduce new products that will enable us to grow faster than the market.  Please turn to Slide 10 on winning market share. We won market share through one, superior commercial execution, make the dealers and our customers' lives as easy as possible and make it easier to do business with us; and two, favorable mix shift to product innovation. We have delivered double-digit revenue growth in 5 consecutive quarters using this formula. We remain focused on driving improvements in our dealer and end customer experience, operating volume-tiered pricing that rewards customer loyalty and delivering product innovations that give dealers, reasons to continue moving their end customers to Dynatronics.  Moving to Slide 11. Mike Withers joined Dynatronics in May 2022 as Chief Information Officer. Mike brings the company with a needed leadership and execution experience for information technology initiatives, his background in multinational ERP implementations, along with his recent work with sales collaboration and analytics transformation aligned with our corporate vision of enabling scale and efficiency within our teams and providing an exceptional customer experience. With the addition of Mike to the team, I took the opportunity to reshape the leadership team for the needs in the coming fiscal years. The streamlined leadership team is built to accelerate the organic growth trend and generate profit expansion at a faster pace. As you can see, new leadership hires have been a major focus area as Dynatronics, and we are willing to shape the team to meet the needs of the future. We have implemented a culture of accountability at the company and focused our employees on overall organic sales growth and consistent profitability.  Let's move to Slide 12. Our M&A strategy is detailed here to give you an idea of what we look for. We have the leadership team to execute on any opportunities that meet our well-defined criteria. We continue to have conversations and pursue acquisitions, innovation partnerships and other business ventures. Our focused criteria includes greater than 40% gross margin and cash flow contribution within the first year. We remain focused on our current markets and our near-term targets are at the lower end of the $5 million to $30 million revenue range. We prefer to make a smaller acquisition using our balance sheet and we'll take debt rather than equity because we believe our share price is undervalued and we want to unlock some of that value.  Slide 13 is the investment highlights for Dynatronics. The markets we serve, rehabilitation and bracing have attractive growth profiles. Sales growth has been driven by customer and dealer reaction to the business transformation. We are winning market share. Sales have exceeded the market in 5 consecutive quarters. We target improvement in gross margin in fiscal year '23. We had approximately $0.7 million of cash, $12.1 million of inventory on the balance sheet at the end of June with no debt.  Dynatronics has not borrowed against its asset base of inventory or accounts receivable since July 2020. Dynatronics is moving in a direction that will reward our shareholders and provide a consistently differentiated experience to our customers. The investment community is actively listening to our story, and we will continue to share our progress and update as we move into the new fiscal year. We will be presenting and hosting one-on-one meetings at upcoming investor events, which will be detailed in upcoming press releases and on our Investor Relations website. We hope to meet with you. I will now turn it over for questions.
Operator: Thank you, John. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions]. Your first question is coming from Scott Henry of Roth Capital.
Scott Henry: I know, John, you may have spoke to some of these questions, but I do want to just hit them for clarity and specificity. For starters, would you expect to be cash flow positive in the first quarter of fiscal 2023?
John Krier: Our expectation is that we are going to improve our cash flow from operations in fiscal year '23. As we look to Q1, if there's some timing of it's one of our largest revenue quarters, timing of receivables and inventory. But as we move through the fiscal year, we will benefit from the sell-down of our inventory, which will allow us to achieve what we believe will be cash flow positive from operations.
Scott Henry: When you say that, do you speak for the year or for the quarter?
John Krier: I speak for the year specifically, but it is likely given the overall position of the business with the revenue that the first quarter will follow that trend as well.
Scott Henry: Yes, we'd certainly expect it to be which -- and leads into my next question, which is very related. And I know you sort of answered it, but for clarification. Obviously, when we look at the balance sheet, less than $1 million in cash, are you going to need more cash. Now if you're cash flow positive, but timing could be an issue, do you have a line of credit in place? Like what are your plans to finance the business through 2023, I guess, is -- or maybe you don't think you need to, but it's getting pretty close at this point?
John Krier: Scott, our plan to finance the business is going to be through the operations of the business. We have a plan in place for clear line to profitability, which would be step 1. Step 2 is our inventory value at $12.1 million. We believe we have the opportunity to sell that down throughout this fiscal year as the supply chain challenges begin to dampen, providing another source of liquidity. We do not have intentions to enter into debt at this point. We're being very focused on avoiding that because when we want to enter into debt, we want to be able to do it for the force of an acquisition or a significant product launch, if that was the case, but primarily through an acquisition. So, our plan is going to be to run the business using the balance sheet. And certainly, at $1 million of cash, $0.7 million, we need to improve that as we go out through the year, and that is really our confidence in the strategy that we have going forward.
Scott Henry: Okay. Now when I look at that inventory level back in 2019, it was $11.5 million and it's $12 million now. But of course, you had all those extra product lines back then. What do you think that inventory level at a steady state could be? Trying to get a sense of how much cash flow can be generated from moving inventory back to normal levels?
John Krier: The answer to that question is really going to be the level of supply chain disruption that we're seeing in the market. We're still having to carry much more safety stock or plan for longer lead times due to the environment that's out there. It's getting more consistent as we move forward, but it's not there yet. So, it's hard to tell exactly what that inventory level will be, along with our growth. And the fact that we're -- with the double-digit growth, we're having to modulate what is that inventory level we need to support that growth. I think it's elevated right now, we would say that, and we just don't know where that number will ultimately end to. It just shouldn't be as high as it is today. I think would be our goal in the longer term.
Scott Henry: Okay. And then on the gross margin, you mentioned a rebound in the first quarter. Is it realistic that gross margins in Q1 '23 could be similar to Q1 '22 when they were around 30%? I mean, is that the type of rebound we could see? And then for the full year, I mean is 30% a doable target? I know you don't want to give guidance, but just trying to think in broad strokes.
John Krier: Yes. I think in terms of reasonableness, you're right. I mean, the difficulty with gross margin right now is things like freight and raw materials. They are slowly sort of modulating a little bit, but that's been the hardest part. If I looked at Q4 of this year, and typically, Q4 is one of our lowest gross margins, if you go back 3, 4 fiscal years, it was 27% without those inflationary factors. So then if you go back to the beginning of last fiscal year at 29.8%, that is a reasonable number to think that, that can be attainable. It's just a matter of where ultimately the product mix ends and what happens with some of the freight costs.
Scott Henry: Okay. And then final question for me. With the economy that feels like it's more challenging, possibly recessionary. How is your business being impacted? Do you feel that coming out of COVID probably helps your business? Do you feel that your business is more related to the economy or maybe it's a little insulated from the economy? Just trying to get an overall big picture sense of how we should think about your business relative to how we think about the economy going forward?
John Krier: Yes, that's certainly on everybody's minds as we sit here today, right, Scott. I think if you would have said been a little over 2 years with the business and to say, do I like our position today versus 2 years ago, entering to COVID? Absolutely. As we sit here with no debt, we have an organically growing company. We have new product introductions. We have a great leadership team, complementing what we're doing. We have multiple avenues in front of us. As an industry, in the medical device industry and health care and rehabilitation, people are still going to get hurt regardless of the economic environment that are out there, and our products help them get better. So, on the whole, generally, our products in our industry should be less affected by the inflationary pressures in terms of a potential recession that might hit some of the more consumer-driven products that are out there. However, it will have impacts on us. There's no doubt about it. And so, we'll plan for that. And that's likely some of the market growth statistics that others are pointing to in other research and why we've called that down a little bit in the near term is to be conservative. But in terms of the confidence in the business, I like our position as we sit here today.
Operator: Your next question is coming from Jeffrey Cohen of Ladenburg Thalmann.
Jeffrey Cohen: So just a few follow-ups just on the Scott's question as well. So, you haven't called out freight historically. Can you call out freight as a percentage? And maybe talk about the net-net year-over-year effect and what you would expect going forward?
John Krier: Yes. I think we -- what we've talked about in the past. So, if I look at prior quarters where we would have potentially mid-single digits or even higher in terms of impact of raw materials, freight costs and labor. It typically was around 60-40, with 60% of that extra cost being in freight. This quarter, what we highlighted was about a little under a 4 percentage point delta if we were to remove those factors, and about 1/3 of that was freight. 2/3 of that was raw materials. So, we saw the mix flip in Q4 versus the prior quarters. And I think that's what we're seeing generally in the market as freights become more stable going forward.
Jeffrey Cohen: Okay. Got it. That's helpful. And I wanted to get back to the inventory and the margin discussion a little bit as far as product that's in inventory now and your confidence on pricing and sell-through as you potentially sell down some of those inventories, what's the level of freshness on the inventory as far as what's there? And what do you think happens throughout '23 as far as levels.
John Krier: Right. So, 2 things I would say. So, if you looked at a year ago at this time, we had $6.5 million of inventory. Now we have $12.1 million. The growth in that inventory is roughly 50% raw material and 50% finished goods. The key point about the health of that inventory is just given the nature of that build, it's very healthy. The second point of it is, is we -- a year ago, when we exited the third-party discontinued business, approximately 80% of the revenue was from products that we manufactured or were contract manufactured for us. That number is nearly 100% today. Therefore, the ability for us to sell through that products even over time because they're our products, the products we manufacture and sell is very high as opposed to if we were in a distributed business. It's one of the hallmarks of our strategy that it allows us to work those down over the year. I can't give you an exact number of where that will be in terms of timing throughout the next year, but I can tell you it's a focus for ours. We know it's an opportunity for us to leverage the balance sheet and drive more cash and we intend to do so.
Jeffrey Cohen: Okay. Got it. And one more from me. Could you talk a little bit about the customers out there and more specifically as it relates to your funnel and your pipeline and confidence relative to how that looks versus 1 quarter or 1 year ago?
John Krier: The reaction continues to be very strong from our customers. Our pipeline of opportunities, our future orders that are on the books are all very strong at this point. We've been able to meet that demand. And so, we're looking forward to that. We would -- continue to get positive reaction to our Mammoth product line that we released just in March and February, and that's not really fully into our results yet as we go into our new fiscal year. Similarly, and this is one of the gross margin levers, we've discussed that the price increases that we put in place largely on January 1 and later on through the year, they take 2 and 3 and 4 quarters to actually show up into our results by the time you move them through the process. And so, we'll start to see more of that as we move into the back half of calendar '22.
Operator: Our next question is coming from Charlie Montang of Lake Street Capital.
Unidentified Analyst: This is Charlie on for Brooks O'Neil with Lake Street. Just a couple of quick questions for me. My first one is, do you plan on continued price increases to drive gross margins moving forward? Or what do you expect to be one of the main drivers to get to that 40% level?
John Krier: Price is going to be a lever. We're going to have to pull. Until the inflationary pressures subside and which we don't see any current sight to where they are, we have to have honest conversations with our customers about the price for our product. We think our products represent excellent quality for cost in the environment. And then we're giving them a choice. The more products you buy for most, the more you spread across our brands, we can lessen the price increase. If not, we'll have to pass that price increase on to you. It's our customers' choice, but we really do have to manage that. So, it will be an important part of our gross margin expansion.
Unidentified Analyst: Okay. Thank you, and then I'm just going to ask one more question, turning over to products. Can you kind of talk on your pipeline and what to expect moving to close next year? And are you still anticipating 40% gross margins when you introduce these products to the market.
John Krier: We absolutely are ensuring that any new product introduced in the market must have that gross margin profile greater than 40%. It's a requirement that Sarah Mealman, our Vice President, Marketing; Brian Baker, our Chief Operating Officer, know when they're bringing products to market is that we have to design them in a way that we can be efficient and that our customers are going to receive them well. So that will be a big piece of it. If we look back at new product introductions and really last year was the first year to bring those new products to market. Only 2% of our revenue in fiscal year '21 was related to new products produced in the last 3 years. And so, as we continue to grow, we need to see that number grow as well. And that will be a big factor. Now in terms of the timing of when there's release, it's really dependent on all the environmental factors going on. And we've had such a great expectation and reaction to our Mammoth launch that we need to continue to produce those tables and then add new products across the portfolio.
Operator: Okay. There appears to be no further questions in the queue. I'm now going to turn back over to John for any closing comments.
John Krier: Thank you operator. Thank you for your interest in Dynatronics. We are actively sharing our story with the investment community as we move forward in our markets. We hope to meet with you at upcoming investor events or in future one-on-ones. If you have any further questions, please direct them to ir@dynatronics.com, and have a great day. Operator, you may end the call.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.